Operator: Hello, and welcome to DexYP's First Quarter 2019 Conference Call. With me today are Joe Walsh, Chief Executive Officer and President; and Paul Rouse, Chief Financial Officer and Treasurer. Some statements made by the company today during this call are forward-looking statements. These statements include the company's beliefs and expectations as to the future events and trends affecting the company's business and are subject to risks and uncertainties. Actual results may vary materially from these forward-looking statements. The company advises you not to place undue reliance on these forward-looking statements and to consider them in light of the factors that could cause actual results to differ materially from those in the forward-looking statements. These factors can be found in our press release dated April 16, 2019. The company has no obligation to update any forward-looking statements. I would now like to turn the call over to Joe Walsh. 
Joe Walsh: Thank you, Samantha. Today, Paul and I will review our financial results for the first quarter of 2019. I will highlight some key statements and then turn the call over to Paul to run through the financials. DexYP experienced another great quarter. We improved EBITDA margins by 2 percentage points over Q1 2018. We generated $63 million of free cash flow, a $9 million improvement over 2018. After successfully refinancing at year-end, we continue to steadily and aggressively reduce our net debt. We continue to develop our flagship all-in-one small business software Thryv with planned releases in Q2, including review acknowledgment, automated email and text campaigns, and other really important capabilities. As I mentioned in our 2018 fourth quarter and full-year guidance in February, we look at this year with an increased emphasis on subscriber engagement. We expect growth in 2020 and beyond in our Thryv area. We continue to focus on Thryv Leads product that complements Thryv and allows small business owners to generate leads across multiple media through a single budget and see these new leads flow into their Thryv CRM. We are facing revenue headwinds. However, we fully are committed to delivering our adjusted pro-forma EBITDA and free cash flow by flexing our cost base. Now I want to turn the call over to Paul to take you through the financials for the past quarter. Paul? 
Paul Rouse: Thank you, Joe. We will now discuss in more detail our consolidated first quarter financial results, released on our website on [ January ] 16. I would like to point out that most of the financial measures that will be presented and discussed this morning were prepared on a non-GAAP adjusted pro-forma basis. We believe these non-GAAP adjusted pro-forma results provide more meaningful information to management and investors relative to the underlying financial performance of the company. In addition, these non-GAAP financial measures are used internally by management for budgeting, forecasting and compensation. The adjustments made to our 2018 GAAP results remove the impact of accounting entries required following the acquisition of YP on June 30, 2017. In addition, nonrecurring costs including integration-related activities to achieve operational efficiencies and non-cash expenses associated with long-term stock based incentive compensation and pension expense were removed from our non-GAAP adjusted pro-forma results. On-GAAP adjusted pro-forma EBITDA for the first quarter of 2019 was $122 million. We generated an adjusted pro-forma EBITDA margin of 31% for the quarter compared to 29% in the same quarter [Audio Gap].Our total Thryv and Thryv Leads revenue continues to grow, up 35% to $32 million in the first quarter of 2019 as compared to $24 million for the same quarter last year. These products are producing $128 million in run rate revenue and we are optimistic in the continuing growth possibilities for our flagship products. Internet Yellow Pages or IYP revenue declined 24% compared to the first quarter of 2018. This decline is related to continued competition from Google and Facebook in the digital marketplace. IYP remains a valuable digital asset and provides a tremendous amount of cash flow for the company. Presence products which reflect some of our historical revenue streams, such as websites, search engine optimization and display advertising, declined 15% compared to the first quarter of 2018, as we expected. Search engine marketing or SEM revenue declined 28% compared to the first quarter of 2018. We provide this service to our clients and are making a solid profit margin. However, it is primarily a reseller business and we believe focusing on our owned and operated products provides the most valuable value to our clients and shareholders. Print net revenue for the first quarter was $181 million, a decline of 26% compared to the same quarter last year. The decline in our print net revenue is consistent with industry trends and recent historical rates. We continue to manage the cost in this side of the business to generate strong cash flows, while providing a great product and experience for our clients and users of the directories. For the first quarter of 2019 our variable margin was 70% and our direct margin was 45%, consistent with 2018 results. We expect to continue to deliver consistent favorable margins even in the face of declining revenue. Free cash flow for the first quarter of 2019 was $63 million compared to free cash flow of $54 million in the first quarter of 2018.The increase in our free cash flow of $9 million is due to lower cash tax and integration-related payments, partially offset by lower EBITDA and year-over-year timing differences in the settlement of certain operating liabilities. Let's take a look now at our net debt. We have fully closed and drawn funds related to the new term loan executed on this December 31, 2018. The outstanding term loan balance at March 31, 2019 was $770 million. We held $313 million of cash resulting in a net debt of $457 million. We continue to remain laser focused on generating cash and reducing debt and are proud of our year-to-date progress on this goal. Now I would like to turn the call back over the Joe for some closing remarks. 
Joe Walsh: Thank you, Paul. Overall, we're pleased with our first quarter results. We were successful in continuing to grow our EBITDA margin and generate free cash flow. We're dedicated to becoming a leading SaaS company and we're excited about the trajectory of our organization. With that, Samantha, we can open it up for questions. 
Operator: [Operator Instructions] There are no questions at this time. 
Paul Rouse: Okay. We'd like to thank everybody for tuning in and we'll update you next quarter. Thank you. 
Operator: This does conclude today's conference call. You may now disconnect your lines.